Operator: Thank you for standing by. This is the conference operator. Welcome to the Eldorado Gold Fourth Quarter 2025 Results Conference Call. [Operator Instructions] And the conference is being recorded. [Operator Instructions] I would now like to turn the conference over to Lynette Gould, Vice President, Investor Relations, Communications and External Affairs. Please go ahead, Ms. Gould.
Lynette Gould: Thank you, operator, and good morning, everyone. I'd like to welcome you to our conference call to discuss our fourth quarter and year-end 2025 results in addition to details of our 2026 guidance and overview of our 3-year production outlook. Before we begin, I'd like to remind you that we will be making forward-looking statements and referring to non-IFRS measures during the call. Please refer to the cautionary statements included in the presentation and the disclosure on non-IFRS measures and risk factors in our management's discussion and analysis. Joining me on the call today, we have George Burns, Chief Executive Officer; Christian Milau, President; Paul Ferneyhough, Executive Vice President and Chief Financial Officer; and Simon Hille, Executive Vice President, Operations and Technical Services. Louw Smith, Executive Vice President, Greece, is at site today and not able to join the call. So Simon Hille will speak on his behalf for Skouries and Olympias. Our releases yesterday detail our fourth quarter and year-end 2025 financial and operating results as well as our 2026 guidance and 3-year production outlook. They should be read in conjunction with our year-end 2025 financial statements and management's discussion and analysis, both of which are available on our website. They have also both been filed on SEDAR+ and EDGAR. All dollar figures discussed today are U.S. dollars unless otherwise stated. We will be speaking to the slides that accompany this webcast, which can be downloaded from our website. After the prepared remarks, we will open the call for Q&A, at which time, we will invite analysts to queue for questions. I will now turn the call over to George.
George Burns: Thanks, Lynette, and good morning, everyone. I'll begin with an overview of our fourth quarter and full year 2025 results and highlights and then provide an update on construction and the time line at Skouries. I'll then hand the call over to Paul to review the financials and then to Simon with an update on projects and operations. Following that, Christian will provide an update on our 2026 guidance and 3-year production outlook before I conclude with some closing remarks. It's been a busy start to the year. We have continued to execute on a clear value creation strategy, achieving the high end of 2025 production guidance, launching a quarterly dividend to formalize a capital return framework and advancing a disciplined exploration program that reinforces the company's discovery strategy. The announced acquisition of Foran Mining further strengthens the company's long-term growth pipeline, adding a high-quality Canadian copper-gold development asset and enhancing portfolio diversification with a focus on per share value creation and sustainable free cash flow growth. Turning to Slide 4 and our fourth quarter and full year highlights. 2025 was a year of strong execution and meaningful progress across our portfolio. We delivered safe gold production at the upper end of our guidance, finishing the year with 488,268 ounces. This performance was supported by another strong year at Lamaque Complex, steady contributions from Kisladag and Efemçukuru and a solid finish at the Olympias mine, bringing it back on track. Solid operating execution, combined with a favorable gold price environment drove strong financial results, including $1.8 billion in revenue, $743 million in operating cash flow and $316 million in free cash flow, excluding Skouries investment. In Greece, we are reaching a key inflection point. The first production from Skouries later this year, together with the Olympias expansion and ongoing advancement of the Perama Hill project, Greece is set to deliver meaningful growth. This momentum is complemented by the continued long-life potential at the Lamaque Complex, supported by production from the Triangle deposit, development from the Ormaque deposit and a robust exploration pipeline and by our Turkish operations, which remain a stable cash-generating foundation for the company. Turning to Slide 5. In the fourth quarter, our lost time injury frequency rate was 0.55, an improvement from the LTIFR of 1.02 in the fourth quarter of 2024. While there is always room for improvement, this safety performance also comes during the peak of our construction activities at Skouries. We continue to implement multiyear programs to support continuous improvement in workplace safety, supporting our vision of everyone going home healthy and safe every day. During the quarter, we achieved safe production of 123,416 gold ounces at $1,894 all-in sustaining cost per ounce sold. Simon will speak further to each of the assets' performance later in the call. With a strong balance sheet, we are well positioned to advance our growth pipeline while maintaining flexibility to return capital to shareholders. As previously announced, we were active on our share repurchase through the NCIB program, and we repurchased approximately $204 million of shares during 2025. Additionally, we announced in January the initiation of a quarterly dividend program, which commences in the first quarter of '26. Coupled together, these mark an important milestone in delivering value to our shareholders and reflect the company's strong financial position and confidence in executing our growth strategy. At Skouries, first concentrate production has been modestly delayed and is now expected in early in the third quarter of 2026 with commercial production anticipated in the fourth quarter. This timing adjustment is expected to increase construction capital by approximately $50 million. The delay relates to primarily required replacement of the cyclone feed pump variable frequency drive capacitors in the process plant due to moisture damage that occurred while in storage. And secondarily, our power line connection delays resulting from a slower-than-expected approval of the detailed engineering and delayed ramp-up of the subcontractor. Prior to commissioning, final electrical regulatory authority approval requires completion of inspection and energization protocols. Importantly, the project is mitigation measures well underway and Skouries remains a multi-decade high-quality asset expected to generate meaningful cash flow in the second half of 2026 and beyond. Ramp-up of first production towards commercial production is expected to accelerate as the project team will continue to complete additional areas as we advance toward first production. We see the impact of the delay is minimal when looking at the long-life nature of the asset, and we are confident in the delivery of this multi-decade mine. With that, I'll turn the call over to Paul for a review of our financial results.
Paul Ferneyhough: Thank you, George, and good morning, everyone. Turning to Slide 7, I'll summarize our fourth quarter and full year 2025 financial results. Consistent and reliable operational performance through the fourth quarter enabled us to deliver results at the high end of our tightened production guidance, while operating costs for both the quarter and the full year remained within expectations. Strong gold prices contributed positively to operating cash flow, further supporting the execution of our strategic and operational investments. Net earnings attributable to shareholders from continuing operations were $252 million or $1.26 per share in the fourth quarter. For the full year, net earnings attributable to shareholders totaled $520 million or $2.56 per share. Net earnings increased both for the full year and the fourth quarter compared to the prior year periods, driven by higher revenue, partially offset by increased production costs, including higher royalties and losses on derivative instruments. After adjusting for onetime nonrecurring items, adjusted net earnings for the quarter were $126 million or $0.63 per share. The primary adjustments in the quarter included a $104 million recovery related to the recognition of deferred tax assets and a $27 million unrealized gain on derivative instruments. For the full year, adjusted net earnings were $355 million or $1.75 per share. Adjustments during the year primarily included a $178 million recovery related to the recognition of deferred tax assets, a $39 million unrealized loss on derivative instruments and a $19 million foreign exchange gain related to the translation of deferred tax balances. Free cash flow in the fourth quarter was negative $55 million or positive $109 million when excluding capital investment in the Skouries project. For the full year, free cash flow was negative $233 million or positive $316 million when excluding Skouries. Cash flow generated by operating activities before changes in working capital totaled $752 million for the year compared to $636 million in the prior year. The increase was primarily driven by higher revenue, which rose to $1.8 billion in 2025, supported by higher average realized gold prices, partially offset by lower production volumes during the year compared to 2024. Production costs for the full year increased to $678 million from $564 million in 2024, primarily due to higher royalties, which accounted for approximately 40% of the year-over-year increase. Royalty expense totaled $124 million, up from just over $79 million in 2024. The balance of the increase reflects labor cost inflation across the operations, notably in Turkiye, where local inflation continues to outpace devaluation of the local currency, the strengthening euro impacting Olympias and increases at Lamaque related to labor and contractor costs required to support the Triangle Mine as it operates at greater depth. Fourth quarter total cash costs of $1,295 per ounce sold were at the lower end of our tightened guidance range and $1,176 per ounce sold for the full year. The year-over-year increase was primarily driven by higher royalty expenses driven by regulatory change in Turkiye and by the stronger gold price environment and overall lower gold volumes sold. Higher total cash costs resulted in increased all-in sustaining costs for both the quarter and the full year. AISC in the fourth quarter was $1,894 per ounce sold and $1,664 per ounce sold for the full year. Year-over-year comparisons were also impacted by higher sustaining capital expenditures in 2025. Growth capital investments at our operating mines totaled $74 million in the fourth quarter and $218 million for the full year. At Skouries, growth capital investment totaled $475 million for the year, including $137 million in the fourth quarter. Accelerated operational capital at Skouries amounted to $35 million in Q4 and $86 million for the full year. Current tax expense was $85 million in the fourth quarter and $229 million for the full year. This full year $115 million increase compared to 2024 was driven by improved profitability across all jurisdictions. Deferred tax was $118 million recovery in the fourth quarter and a $207 million recovery for the full year, primarily related to the recognition of deferred tax assets in Canada and Greece. Turning to Slide 8. Our balance sheet remains strong and provides the flexibility to support growth initiatives while returning capital to shareholders. Total liquidity was approximately $976 million at the year-end, positioning us well to complete construction at Skouries, support ramp-up and continued disciplined capital allocation, including to our recently announced dividend program and ongoing NCIB repurchases. During the fourth quarter, we purchased and canceled approximately $80 million of Eldorado shares under the NCIB. Following our additional investment in AMEX announced in December, our year-end cash balance was $869 million. Before turning the call over to Simon, I'd like to take this opportunity to announce that commercial terms for the Skouries concentrate offtake arrangements have been agreed and contracts are being finalized ahead of execution. These contracts cover approximately 80% of planned copper concentrate production over the next 2 to 3 years at terms significantly better than those assumed in the Skouries 2022 technical study. With that, I'll hand the call over to Simon, who will provide an update on our operations, beginning with Greece.
Simon Hille: Thanks, Paul, and good morning, everyone. Let's begin with Slide 9, which highlights the progress at our Skouries copper-gold project. As George outlined, we have adjusted the timing of our Skouries project. However, I want to be very clear, the project continues to make strong progress and execution on the site remains solid. As of the end of 2025, overall construction has reached 90%, and our focus is firmly on delivering safe and high-quality startup. The open pit is operating ahead of plan. Substantial ore stockpiles have been established and grade control drilling is substantially complete from Phase 1, which has confirmed the first 3 years of production. While the timing has shifted modestly, the fundamentals of the project are unchanged, and the team is executing with discipline as we move towards the first production. Turning to Slide 10. Photos here and on the following slides illustrate the advancement of the work underway. Work in the process plant remains focused on mechanical, piping, cable tray and electrical installations in preparation for first ore. As mentioned, recent inspections have identified the need to replace the cyclone feed pump variable speed drive capacitors in the process plant, which experienced moist damage during storage. We have ordered and expect to install temporary replacement equipment in Q2 with permanent equipment in Q3. The prefabricated electrical distribution room for the compressors has been installed with cable and terminations progressing. The reagent areas are advancing in line with the commissioning plan. Moving to Slide 11. Two of the 3 tailings thickeners are mechanically complete with electrical cabling and instrumentation installation underway. The third thickener not required for start-up is in progress in line with the plan. Water testing is complete, piping installation is advancing and the support infrastructure, including pump house and flocculant building is moving forward. Slide 12 focuses on filtered tailings plant, which remains on the critical path with electrical installation and commissioning being the final step. The prefabricated electrical room was installed and electrical work is advancing. We're also making steady progress on the tailings handling infrastructure, including the stacking conveyance system. The accessibility and productivities of the tailings infrastructure have been mildly affected by recent rain fall above the historic levels. However, these are short-term challenges that the team is actively managing. As seen on Slide 13, construction of the crusher building is advancing well. Concrete work is complete. The crusher is mechanically installed, electrical work is underway. Conveyors to the coarse ore stockpile and the process plant are in place. The stockpile dome assembly is progressing. The installation of the prefabricated electrical distribution room was completed and electrical cable installation and terminations are in progress. Moving to Slide 14 and Olympias. Fourth quarter gold production was 18,473 ounces. And all-in sustaining costs were $1,676 per ounce sold. Progress continued on the planned mill 650,000 tonnes per annum expansion during the quarter. All of the major equipment, including the verti-mill, flotation cells, thickener, cyclones and e-room have been delivered and installation has commenced. We expect progressive commissioning and ramp-up in the second half of 2026. Turning to Turkiye on Slide 15. Kisladag production totaled 41,140 ounces with all-in sustaining costs of $1,933 per ounce sold. On the growth initiatives, the long lead procurement for the whole ore agglomeration circuit is underway with installation targeted for 2027. The new secondary crusher has been ordered with delivery expected in the second half of 2026 and the geometallurgical study to assess future screening needs to remain on track for completion in the second half of 2026. On Slide 16, at Efemçukuru, fourth quarter gold production was 14,496 ounces at all-in sustaining costs of $2,536 per ounce sold. Compared to Q3 of 2025, gold production was lower due to lower grade and recovery despite higher mill throughput. And now moving to Lamaque on Slide 17. Lamaque delivered production of 49,307 ounces at all-in sustaining costs of $1,392 per ounce sold for the fourth quarter. During the year, the second Ormaque bulk sample was processed, and this higher-grade ore was treated in a blend with the Triangle ore and performed very well. We look forward to advancing Ormaque into production later this year. And with that, I'll turn the call over to Christian for an overview of what's ahead.
Christian Milau: Thanks, Simon, and good morning. Turning to our 2026 guidance and 3-year outlook. Eldorado enters the year from a position of strength. Skouries' exciting value proposition is unchanged. It's a high-quality, long-life asset that will generate strong cash flow for decades. As it advances towards production, Skouries will be transformational, resetting our production profile and cost base well into the next decade. Slide 18 outlines our consolidated 2026 guidance and 3-year growth profile. From our existing portfolio, we expect production to increase by approximately 40% in 2027 versus 2025, supported by a solid base of relatively lower cost operations. The addition of Skouries further accelerates this growth, enhancing scale, margins and long-term cash flow generation. For 2026, we expect total gold production to be between 490,000 and 590,000 ounces with copper production of between 20 million and 40 million pounds. On a consolidated basis, all-in sustaining costs are expected to be between $1,670 and $1,870 on a per ounce of gold sold basis. Growth capital and operations is expected to be between $375 million and $405 million and sustaining capital is expected to be between $140 million and $165 million for the year. As previously announced, we've increased our planned exploration investment for 2026 by 60% compared to 2025. We expect to spend between $75 million and $85 million during the year, focused on resource conversion drilling at Lamaque and Efemçukuru, resource growth and discovery programs in Quebec, Turkiye and Greece. All-in sustaining costs at Skouries are expected to be between negative $100 and plus $200 per ounce of gold on a net of by-product basis. Over the life of the mine of Skouries over the life of mine, Skouries is expected to be a low to negative all-in sustaining cost mine given spot and higher copper prices in the current market and forecast by market commentators. As a result, Skouries will have the potential to transform Eldorado into one of the highest free cash flow yielding companies in the sector for 2027 onwards, with free cash flow yields estimated by some groups of over 20% based on their gold and copper price forecasts. Given we anticipate Skouries' first production in early Q3 2026, commercial production in Q4, we have provided cost guidance for our current operations. Following commercial production at Skouries, we expect to issue updated consolidated cost guidance later in the year. On Slide #19, we provided the mine-by-mine 2026 detailed production guidance. At the Lamaque Complex for 2026, production is expected to be between 185,000 and 200,000 ounces, reflecting the start-up of Ormaque. Our focus remains on advancing Ormaque development and continuing resource conversion drilling at both Triangle and Ormaque. In Turkiye Kisladag, we expect 2026 production of 105,000 to 130,000 ounces. Expected production compared to the previously guided range has been impacted by a high waste stripping year, coupled with longer-than-planned leach cycles and lower grade stacked. The higher metal price environment has opened up a significant opportunity for the Kisladag open pit to allow us to evaluate the opportunity to move from $1,700 to $2,100 pit shell, which is expected to unlock the western area of the pit to support resource expansion. To facilitate this opportunity and assist in resolving ongoing geotechnical challenges at the open pit, we expect to increase waste stripping in 2026 by 6 million to 8 million tonnes. The mine optimization plan is expected to be beneficial in the long term by improved balancing of ore and waste movement and supporting consistent year-over-year performance. At Efemçukuru, we expect production of 70,000 to 80,000 ounces in 2026. Costs are expected to be higher this year due to increased labor, electricity and royalty expenses. Finally, in Greece and Olympias, production is expected to be between 70,000 to 80,000 ounces, reflecting the ramp-up of the 650,000 tonne plant in the second half of the year. Our focus will be on executing the plan, managing feed blends and supporting stable flotation performance. Higher gold production and improved payability terms are expected to support lower unit costs, though quarterly variability will continue due to timing of by-product shipments. With the portfolio we're genuinely excited about and clear path to cash flow inflection, we believe we are well positioned to create long-term sustainable value. And I'll now turn it back to George for concluding remarks.
George Burns: Thanks, team. Our 2025 performance reflects the dedication and capability of our employees and contractors across the organization. I want to thank our teams for their ongoing commitment to responsible production, safety, operational excellence and collaboration. As we look ahead to 2026, our focus remains on safely delivering Skouries, strengthening our operating foundation and continuing to create long-term value for our shareholders. Before we conclude, I want to briefly revisit the announcement we made almost 3 weeks ago regarding the combination of Eldorado and Foran. Together, we bring 2 high-quality assets entering into production in 2026, in addition to 4 operating mines that support near-term growth and long-term value creation. The combination enhances free cash flow potential, strengthens our production base, improves our cost profile while maintaining a strong balance sheet to fund growth, advance exploration and return capital. It also adds meaningful copper exposure alongside long-life gold production, creating a more balanced and resilient portfolio. Overall, this creates a compelling platform for growth and operational excellence that will drive sector-leading cash flow per share. We're confident in the opportunities ahead. Thank you for your time today. I'll now turn the call back to the operator for questions from our analysts.
Operator: [Operator Instructions] The first question comes from Cosmos Chiu with CIBC.
Cosmos Chiu: Maybe my first question is on Kisladag. As you mentioned, in the 3-year outlook, 2026 guidance is lower than what there was before. And I think you explained why part of it, lower grade, higher strip. But how about 2027? I noticed that 2027, your 3-year outlook is also lower than what you had previously disclosed. So the reasons in 2026, are they also sliding into 2027?
Simon Hille: Cosmos, this is Simon. Thanks for the question. So yes, as we explained, we are looking to open up the Western area. I think that's going to provide us with a new ore source, and we're quite excited what that could do for us by adding some more mine life into Kisladag. So that's one of the positives coming out of the extra stripping required this year. As we look forward into sort of 2027 and beyond, we are probably setting up the mine to be in that range that we've sort of 150,000 to 160,000 ounces on a steady year-on-year basis. However, there will be focus on making those profitable ounces through cost initiatives and other things. But that's sort of the outlook for right now. We don't see it really spiking in any given year.
Cosmos Chiu: So I guess to confirm, it sounds like 2027 numbers that you've given today, 140,000 to 160,000 ounces has incorporated some of the potential impact from an increase from a $1,700 an ounce to a $2,100 an ounce pit shell. Is that what I'm getting?
Simon Hille: Yes, I think it's fair to say that.
Cosmos Chiu: Okay. And then so in terms of the stripping then, the 6 million to 8 million tonnes of pre-strip in 2026. Is that going to stay high then potentially if you move to a $2,100 an ounce pit shell? I'm just trying to figure out if that's a good sustainable number of tonnage to use to think of continue on a going basis.
Simon Hille: Yes, that's a good question. To clarify, we typically move roughly around 20 million tonnes of waste every year. And so that's been driving our -- it's split across growth and sustaining capital. Beyond -- for 2026, what we're flagging is an increase -- an extra increase on top of that of roughly around 6 million to 8 million tonnes. The extent of that moving forward will be, I think, fairly modest. This year is probably where we're trying to open up the area. And the $2,100 shell was, I think, always a part of our long-term plan with the metal prices moving in the direction they have.
Cosmos Chiu: Great. And then maybe just another question, switching gears a little bit. George, as you mentioned, it's been almost 3 weeks now since you announced the acquisition of Foran Mining. You've had a chance to talk to a lot of investors and shareholders of both companies. How has the reception been so far?
George Burns: Thanks, Cosmos. Yes, we're out explaining to both sets of investors why this transaction is really a 1 plus 1 equals 3 transaction. I think our shareholders are listening to the benefits that flow to both sets of shareholders. In the case of Eldorado, this is a compelling opportunity to have a multi-decade life asset with massive exploration upside. We also, with our balance sheet, know we can lower the cost of capital relative to a development company and then accelerate investment in things like a lead circuit and doubling the capacity of the plant much faster than the Street is assuming. So we're selling the benefits, compelling benefits to our shareholders, and it's going to be up to them and a shareholder vote in the not-too-distant future. So we remain optimistic.
Operator: [Operator Instructions] The next question comes from Tanya Jakusconek with Scotiabank.
Tanya Jakusconek: Can you hear me?
George Burns: Yes.
Tanya Jakusconek: I don't know, George, if you want to take this or maybe Simon wants to take this. I just want to circle back to Skouries. With this delay that we've had, does this give us any -- I'm assuming it gives you a little bit more breathing room on the tailings. Maybe just review the tailings and you mentioned weather, Simon. Are we getting drier weather? Does this help us a little bit on the tailings side is what I'm asking, this additional time.
George Burns: Yes, it's George. So yes, a couple of things I'd point out. So this 3- to 4-month delay in getting to first concentrate does give us some breathing room in really 2 areas. The plan all along on the plant construction was to get 2 filters up and running and begin the ramp up. With this delay, we're going to be able to get more of that equipment finalized before first concentrate. So we'll have more than 2 filters at start-up, and we'll have a number of other equipment required for ramp-up complete before we start. So that's a positive. And yes, I mean, we've seen heavy rains in the Mediterranean, both in Greece and in Turkey. Some record rainfalls are hitting the area. So it's a nuisance when you're out trying to do earthworks, open pit mining, but these haven't caused any significant delays in the construction. It's just we're being transparent about those issues. So for sure, the delay in start-up will advance all of our earthworks and put us in a better position for a solid ramp-up in the second half.
Tanya Jakusconek: Mean you're going to have a very big -- well, I'm going to say big, but you're going to have a nice stockpile ready to feed that mill. And I think Simon mentioned we've done the drilling for 3 years of mining, detailed drilling in the pit. So we've defined for 3 years with a nice stockpile. Is that safe to assume that I'm understanding it correctly?
George Burns: You are. We're going to be in a fantastic position to feed the mill. We're at more than 1.5 million tonnes today on the ground stockpiled. And with this 3-month delay, that stockpile is going to grow even further. So the beauty in all this, we're going to have more ore than we're going to process this year. We're going to be able to select the higher grade, more valuable ores to feed the plant. So we're in a great position from a mining perspective, great position from an ore body quality perspective. We've got 3 years of the open pit infill drilled, confirming the grades and recovery. And the underground has been unfolding very positively. We're 900 meters ahead on development. We're going to do 4 test stopes this year rather than 2. And the 2 test stopes that -- one that we've completed mining, the other one is roughly half completed. Fragmentation was excellent. The cavity is holding up. It's increased our confidence to go to larger stopes this year. So the 4 stopes we're going to mine this year around 97,000 tonnes compared to the 2 last year were just over 60,000 tonnes. So we're in a great shape for mining. This delay does allow us to have the plant more ready for a faster ramp-up. And it's unfortunate we had an issue with one of the key pieces of equipment, but I think we're in good shape for a strong year.
Tanya Jakusconek: And George, I'm assuming that with these -- with the issues on the cyclone feed pump, all other areas have been checked, like we're not -- checks have been done is the only damage the nothing else be checked?
George Burns: Yes. I mean that's a great question. To put it in context for this concentrator, there's over 4,000 pieces of electrical mechanical equipment. There are 891 motors, and there are 190 variable frequency drives. And so yes, all of this stuff has been inspected. Unfortunately, with the cyclone feed pump -- let me back up. All the electrical equipment had been stored since 2017 in warehouses that were constructed in the first phase of construction. I think that's a testament to the original design of this that often doesn't happen at the beginning. So when we went into care and maintenance in 2017, the electrical equipment was stored under cover. What we have found is we put this VFD into the motor control center just days ago. There were some signs of some moisture damage on this particular unit. And as a result, we got the manufacturer involved, opened up the capacitors and found this damage. And we've remarkably been able to find the quickest solution is to repurchase new capacitors. The repairs are going to take longer. And essentially, that's our critical path now to start up. So to answer your question, all of that equipment had been stored other than this one piece. These capacitors were marked cyclone feed pumps on the crating. And we now believe these were stored outside for a while and then later brought into the warehouse. So unfortunately, we were just in the phase of installing these, brought them into the MCC, notice a bit of moisture damage on the outside of the gear and got the manufacturer there to open up this electrical equipment and found the damage. No other equipment had any of those indications and all the additional variable frequency drives have been checked and confirmed to be okay. So we think we're out of the woods on any repeats to this unfortunate issue.
Tanya Jakusconek: Yes. It sounds like the manufacturer is working with you, and I think Simon said they've already been ordered, and I think we're expecting them on site soon.
George Burns: Yes. So the replacement new capacitors have been ordered. The rebuild of the damaged capacitors will come in Q3. So our best estimate from accelerating the manufacturing and shipment to site is we will be ready to run in 3 to 4 months from our late Q1 original date.
Tanya Jakusconek: Okay. And then just maybe just turning to the power line connection. So I'm assuming the subcontractor is there now ready to working away and the critical path there is just getting that approval from the regulators. Is that how I should think about this power line? There's nothing else that needs to be done?
George Burns: Yes. I mean we wanted to just point this out being transparent. We've talked all along that the dry stack tailings facility was the critical path. and that the power line and substation were not too far behind it. We did have some slippage in the detailed engineering. And just to describe this part of the infrastructure, it won't be owned by Eldorado. This is being constructed for our project, but it will be owned by the regulatory authority in Greece. And so it involves 11 power transmission poles and associated line and then this main substation. So the engineering took a bit longer. The subcontractor that's constructing it wanted full sign off before they started the work, and we saw some slippage there. But we've mitigated that. And with this delay now on the capacitors, we'll have this energized and ready ahead of time. But we did want to point out that we're not also in control of the inspection. So once the construction is complete, the regulator will come out and inspect all of that infrastructure that will be handed over to them, and they'll make the final determination when it's ready to flip the switches and energize our plant. And we've got temporary generators on site that we can do our commissioning on all areas of the plant with the exception of our grinding mill. So we have to have this power for that final commissioning and then start up. So at this point, it's not the critical path to actually the capacitors. We just wanted to highlight there was a bit of slippage, and we're focused on mitigating that.
Tanya Jakusconek: Okay. So just so that I know when is that going to be ready, the power plant?
George Burns: We expect the power plant in late Q2 and then shortly after that, the capacitor is up and running for the cyclone feed pumps.
Tanya Jakusconek: Okay. Good luck with all of that. I'll be asking again on the Q1 call.
George Burns: I'm sure you will.
Operator: That's all the questions we have for today. This concludes the question-and-answer session and today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.